Operator: Good day, ladies and gentlemen, and welcome to the third quarter 2019 RBC Bearings Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to introduce to your host for today’s conference, Mr. Chris Donovan with the Alpha IR Group. Sir, you may begin.
Chris Donovan: Thanks, Horne and good morning, and thank you for joining us for RBC Bearings fiscal 2019 third quarter earnings conference call. With me on the call today are Dr. Michael J. Hartnett, Chairman, President and Chief Executive Officer; and Daniel A. Bergeron, Vice President, Chief Financial Officer and Chief Operating Officer. Before beginning today's call, let me remind you that some of the statements made today will be forward-looking and are made under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those projected or implied due to a variety of factors. We refer you to RBC Bearings' recent filings with the SEC for a more detailed discussion of the risks that could impact the company's future operating results and financial condition. These factors are also described in greater detail in the press release on the company's website. In addition, reconciliation between GAAP and non-GAAP financial information is included as part of the release and is available on the company's website. Now, I'll turn the call over to Dr. Hartnett.
Michael Hartnett: Thank you, Chris and good morning and welcome, everyone. Net sales for the third quarter of fiscal 2019 were 171.5 million versus 166.9 million for the same period last year. Excluding the sales from businesses that were sold or discontinued and that is Sargent Canada and Avborne, Miami, organic growth for the quarter was 6.5%. For the third fiscal quarter of 2019, sales of industrial products represented 38.4% of our net sales, with aerospace products representing 61.6%. Gross margin for the quarter was 68.1 million or 39.7% of net sales. This compares to 64.8 million or 38.8% for the same period last year, a 5.2% increase. Adjusted operating income was 36.6 million versus an adjusted 34.4 million last year, 21.4% of sales. Adjusted EBITDA was 47.9 million, 27.9% of revenues. The business performed very well in the quarter, despite many supply chain constraints, both internal and external that plagued several of the aerospace divisions. Industrial products showed a 6.7% year-over-year organic sales growth rate during the period and were up 10.7% organically year-to-date. Industrial OEM was up 9.9% and distribution and aftermarket was flat versus last year's third quarter. Mining, oil and gas, machine tool and general industrial equipment continued to show strength during the period. It looks to us now that year-over-year comps will get tougher as these businesses should demonstrate a more historical growth rate of 2 times GDP going forward. This requires good basic blocking and tackling every day at the ground level and that's something that's right on our wheelhouse. The days of extreme demand for our industrial products that we've seen for the last 24 months seem to be behind us for now, but on the other hand, these markets are most difficult for us to forecast and can present big upside surprises, based upon market changes and commodity prices tied to oil and metals, as we have seen so many times in the past. We're very well positioned to service this demand level, should be if we be represented with the opportunity. Aerospace and defense sales were up 6.4% on an organic basis. Shipments on the defense side can be lumpy quarter-to-quarter, depending upon program timing and that's certainly happened this quarter. Aero OEM alone was up 9.1%, attributed to the increase build rate and new content at the major airframe and engine producers. As you know, the majors are reporting another major step up in build rates for our FY20, supply chain constraints, internal and external, continue to plague the industry and impact RBC throughout fiscal ’19, as mentioned in previous calls. We're a long way towards internalizing these processes and we will be phasing in additional process capability and capacity later this quarter, in our fourth quarter as we bring another 150,000 square feet of manufacturing space online in four separate plant sites and it will be fully commissioned in the first and second quarters of FY20 and it will begin to be phased in the later half of our Q4 FY19. And this is to ensure and renew our ability to support the next stage of our growth plan for the next fiscal year in aircraft products. As discussed in earlier calls, primary aerospace platforms that we will see growth continue to be to the 737 MAX, the A320, 787, 777x and the Joint Strike Fighter. And of course the supporting engine programs of leap and gear turbofan. Regarding our fourth quarter, we are expecting sales over the period to be between 178 million and 180 million, compared to 175 million last year and that's net of Canada and Airtomic, Miami. I'll now turn the call over to Dan for more detail on the financial performance.
Daniel Bergeron: Thanks, Mike. I'd like to give a little more clarity on the Q3 guidance that we had given. On the Q2 earning release, we gave a net sales range of 174 million to 176 million for Q3. If we add back the lost shipments due to the sale of our Miami division, we would have been at approximately 175 million for Q3 and that's right in the middle of the range and probably a little north of that, everything had turned out the way we had planned. So and I’ll just jump down to SG&A. SG&A for the third quarter of fiscal 2019 was 29.1 million compared to 28.2 million for the same period last year. The increase was mainly due to higher personnel cost of 0.2 million, 0.6 million of additional incentive stock compensation and 0.1 million of other items. As a percentage of net sales, SG&A was 17% for the third quarter of fiscal 2019 compared to 16.9% for the same period last year. Other operating expense for the third quarter of fiscal 2019 was expense of 19.1 million compared to expense of 3.3 million for the same period last year. For the third quarter of fiscal 2019, other operating expenses were comprised mainly of 16.8 million of costs associated with the sale of Miami division and 2.4 million in the amortization of intangible assets, offset by other income of 0.1 million. Other operating expense for the same period last year consisted mainly of 1.1 million related to the restructuring of our Canadian operations and 2.3 million in amortization of intangibles assets, offset by other income of 0.1 million. Operating income was 19.8 million for the third quarter of fiscal 2019 compared to operating income of 33.3 million for the same period in fiscal 2018. On an adjusted basis, operating income would have been 36.6 million for the third quarter of fiscal 2019 compared to adjusted operating income of 34.4 million for the same period of fiscal 2018. For the third quarter of fiscal 2019, the company reported net income of 16.2 million compared to net income of 23.8 million for the same period last year. On an adjusted basis, net income would have been 28.5 million for the third quarter of fiscal 2019 compared to adjusted net income of 25.7 million for the same period last year. Diluted earnings per share were $0.65 per share for the third quarter of fiscal 2019 compared to $0.97 per share for the same period last year. On an adjusted basis, diluted earnings per share for the third quarter of fiscal 2019 was $1.15 per share compared to an adjusted diluted EPS of $1.05 per share for the same period last year. Turning to cash flow, the company generated 21.1 million in cash from operating activities in the third quarter of fiscal 2019 compared to 28.5 million for the same period last year and 79 million in cash from operating activities for the 9-month period fiscal 2019 compared to 92.5 million for the same 9-month period last year. Capital expenditures were 11.5 million in the third quarter of fiscal 2019 compared to 7.9 million for the same period last year. On a 9 month basis, CapEx was 29.2 million compared to 20.5 million for the same 9 month period last year. In the third quarter of fiscal 2019, the company paid down 10.1 million of debt and for the 9-month period, paid down 60.4 million debt. Total debt, as of December 29, 2018, was 114.6 million and cash on hand was 81.7 million. The day after the quarter closed on December 31, 2018, the company paid down an additional 40 million of debt. I’d now like to turn the call back over to the operator for a Q&A session.
Operator: [Operator Instructions] And our first question comes from Steve Barger with KeyBanc Capital Markets.
Ken Newman: This is Ken Newman on for Steve. I just want to touch back on the major headlines with increasing build rates, can you remind us of the content for airframe for a narrowbody and a wide body and is this increase already contemplated within your internal forecast?
Michael Hartnett: Yeah. I don't have the exact content per widebody, widebody or narrow body in front of me, but I'm sure Dan does. And is included in which forecast, Ken?
Ken Newman: Yes. So in your internal forecast, as you were thinking about – as you were thinking about this 4Q19, as you're thinking about your 2020 expectations, obviously, you're not guiding to it, but or your capacity additions, are there already kind of incorporated these new build rates?
Michael Hartnett: Yeah. I mean the new -- the reason that we're putting 150,000 square foot of new manufacturing floor space in place is to support that growth. I mean, so we have committed contracts over a number of years and for most contracts and our content per aircraft, we can pretty much identify what our product demand is going to be by plant and from that product demand, we can identify what we need for, what we have for capacity, what we need for capacity, what we might need for floor space expansion and what we probably need for new processes, because so many of these products that go into the new aircraft are using coatings and other processes that typically have not been a staple for these manufacturing technologies in the past. So, the world is -- the engineering world for aircraft design and manufacturing has changed a lot in the last five years and the market is rushing capacity in place to try to support the demand of the airframe producers. So yes, it's integrated into our outlook and I think throughout our FY20, which begins April 1, you'll see increasing sales of that airframe product, as we turn out in the floor space and achieve the approvals we need for these new processes and flow that to Boeing and the Boeing subs.
Ken Newman: It seems like non-auto – maybe the non-tech industrial end markets are holding up pretty well, is that what you're seeing and are there any areas where you're focused on new market opportunities or areas to kind of kickstart growth within industrial?
Michael Hartnett: Yeah. Well, I mean, there's a few things going on in the industrial side that are -- need to be you know considered. I mean, you can pretty much see what Caterpillar is doing and that's a major customer for us and so we were developing products for Caterpillar that don't require lubrication and will last for the life of the system and so those are some of the new products that we're excited about and Caterpillar is equally excited and is in test. I think one of the industrial headwinds we’ll have for FY20 is integrated in our numbers. We include in the industrial side of our business, the marine products that we produce and sell to the defense industry for submarines and because of the delay in some of the sub-contracts, there's normally 2 to 3 boats per year that have to be built for the Virginia and the Columbia series of products. So we're going to have a gap year, where we're only going to build one boat for the Virginia and then we'll be back to 2 to 2 plus boats after that and that's going to happen in our FY20. So that's a little bit of headwind on the industrial side for us and we expect to overcome that with just normal other industrial products.
Ken Newman: I'll just ask one more before getting back in the queue, looking back over the past several years, operating margins are running at a level, which has been, I guess, considered over the last, call it, 5 or 10 years, but so at a high level of performance right now, if we get into a mid-single digit organic growth environment, given the supply chain constraints that you're seeing, do you think you can drive margin expansion and if so how?
Michael Hartnett: Well, we definitely think we have a plan to drive margin expansion. And the plan is a very solid one and it's based on achieving internal processes for several of the products where we buy those processes externally today. We've implemented the processes internally and are seeking OEM approval of those processes to be able to turn on our internal plans and what that does for us is a couple of things. First of all, we can do the processes internally at less than half the cost of the external supplier. Secondly, because of where our plants are, because of the -- there are so few suppliers that have the OEM approvals, it's not unusual for us to take product that is made in, let's say, Fairfield, Connecticut, put it on an airplane, ship it to California for special treatments, ship it back to Connecticut for final processing, so that adds weeks of time for those product transit as well as the expense of that transit. So internalizing those processes not only makes sense for us in terms of the cost of the process, but the delay in processing is eliminated and the efficiency of moving the materials for our plants is greatly increased.
Operator: Our next question comes from George Godfrey with CL King.
George Godfrey: For the fourth quarter guidance of 178 to 180, can you tell me what’s the organic growth rate embedded in that assumption?
Daniel Bergeron: It's about 2% to 3%.
George Godfrey: 2% to 3%. Okay. And that's down obviously from the 6.5 that was just reported. And Dan, is the majority of that delta in the organic growth assumption the supply chain issues that you referenced both in external and internal?
Daniel Bergeron: Yes, it's mainly driven by the aerospace and defense side of the business. And obviously the comps on -- the year-over-year comps on the industrial get tougher and tougher, right, we do the business at 20% last year. First 9 months of this year at 10%, so that's starting to catch up to us on that growth rate. So as Mike said, we expect that we can still get that 2 times GDP type growth on the industrial side and then once we get through this bottleneck on the supply side and the in sourcing side with aerospace, we should be back to normalized growth rates that we always expected.
George Godfrey: And my second question is, is the best you can in Q3, if you didn't have any supply chain issues and everything could operate at the capacity that customers were demanding, even on a dollar level, $1.7 million would be 1% of organic growth or on a percentage basis, can you quantify how much of that impacted the quarter approximately?
Daniel Bergeron: I really don't have a good estimate on that George. Mike, do you have any thought on that?
Michael Hartnett: Yeah. In the quarter, we could – on the aerospace side, we could sell as much as we could make. So to say that we could sell another $5 million worth of product in the quarter is probably not an understatement.
George Godfrey: Okay. So organic growth rate could have easily been 3 percentage points higher or low double digits if the supply chain didn't have the issues. That's what I was trying to get?
Michael Hartnett: Yes. That's correct.
George Godfrey: Okay. And then last question, you talked about the treatment of the products being shipped to California, memory serves from the last call, it was also -- you had your own backlog of equipment to get into Fairfield. Can you give us an update on where the backlog of the equipment that you wanted for this processing is?
Michael Hartnett: Yeah. Well, we have -- we've built in -- one of the plants that we've built was about 60000 square feet and it's in Oxford and its mission is to support Fairfield. That equipment is in, some of that equipment is in and some of the equipment that is in will be operational and in production by the end of the fourth quarter. And then in the first quarter of next year, the balance of the equipment should be in place. And subject to our ability to get bailiff on approvals from the OEM, that equipment can be in production by the end of June. And then the balance of the equipment will, which is less critical, it's more a plant consolidation exercise will phase into the floor space over the balance of the year.
Operator: Our next question comes from Michael Ciarmoli with SunTrust.
Unidentified Analyst: This is actually Les in for Michael. Could you talk a little bit about the pricing environment, especially in the industrial side, any weaknesses that you've seen there?
Michael Hartnett: I think for us on the industrial side, it's been pretty normal. We've been getting pricing where we can get it, especially when it's associated to increase in raw material costs, associated with tariffs or just normal inflation. Right now, a lot of plants in the industry are constrained also and which is giving us a more favorable environment.
Unidentified Analyst: Okay. As far as the expansion in Connecticut goes and the facility additions, now, I believe you mentioned earlier in the year that you're looking for CapEx to be roughly 4.5 of sales, it looks like it's probably about 100 bps higher than that, any sort of puts and takes there, maybe some additional costs that you didn't foresee initially?
Michael Hartnett: No. I just think we completed the building here in Oxford, Connecticut a little quicker than we thought we would. So a lot of that expense got picked up in Q2, Q3, so we finalized the whole building and we got our CEO 1st week in January and so that was good news. We're a little ahead of schedule there and we’re populating them with the equipment. But once these projects are behind us, this whole 150,000 expansion will be back to a normalized rate of 3.5 range of sales force for CapEx.
Unidentified Analyst: And I guess on the -- as far as the book to bill, I believe it just came out a little bit below 1, end of 3Q, was there any impact to the backlog from the Miami divestiture.
Daniel Bergeron: Yes. And – but it was small. A lot of their business was in and out business in the quarter, so wouldn’t have been a huge number. There is, as I think Mike Hartnett has talked about this on previous calls, with some of our larger aerospace customers now, a lot of the orders don't even go through our backlog because we're picking up the orders through a portal, so you never get the order into the day you ship it, you go into the portal, you get the order, they give you the barcode to ship the product and you ship it and so it's in and out within the quarter, which in previous years, you would have seen that built up into our backlog number. So but yeah, Miami not a big impact on the backlog, maybe a few million and that's about it.
Unidentified Analyst: I guess just one last one and I'll jump back in the queue, just housekeeping on the, what’s the normalized tax rate you'd expect for the year now?
Daniel Bergeron: I think around that, from a normalized, we have a lot of stuff going through this year, but we should be normalizing around 20%.
Operator: Our next question comes from Kristine Liwag with Bank of America Merrill Lynch.
Kristine Liwag: With the supply chain constraints that you're facing, are you delivering on time for your customers and then how much of a slack is there in the supply chain, if you're not?
Michael Hartnett: In terms of delivering on time, I think for 98% of the customers, we are delivering on time. For 100%, for the other 2%, we are struggling. And doing extraordinary things in order to cover the supply need. What was the second part of your question?
Kristine Liwag: And how much supply chain slack is there in the market, if you're not delivering on time, because then I would have assumed that you could be, are you a bottleneck for the production rate ramp?
Michael Hartnett: In those 2% cases, I would say we are.
Kristine Liwag: And which programs would those be?
Michael Hartnett: Those would be the -- probably the 737 program.
Kristine Liwag: I see. And then with the struggles that you're having there, do you have to pay a penalty, is there something that you might have to take a charge on, as that goes along?
Michael Hartnett: No. So far so good on that, Kristine. I think we're through the worst part of the situation now. The interesting part is the -- a lot of the suppliers that we need in order to complete the product are borrowing. And although, we get the product to the supplier on time, the supplier will tell us, we can do it for weeks and then four weeks passes and they say, well, we didn't get to it, wait another four weeks and we don't have that kind of time in the schedule, so that's where the problem really has been acute. So the interesting thing is, we have internal processes for the most part that we can apply to satisfy the production requirement for the design and those processes are approved by the OEM. So when the OEM says, well, what can we do to get parts, we say you can approve our processes and this is our -- these are our credentials, these are our approvals by the current quality societies, et cetera and in some cases, we get that approval within an hour. So that's really accelerated our program and has really eliminated the supply constraint that we were under for the third quarter in some product areas and in the most acute product areas.
Kristine Liwag: And then in 1Q and 2Q20, when your 150,000 square feet addition comes online, how much of a margin to headwind or how much headwind to margin do you expect to see there for those quarters?
Michael Hartnett: Well, that's a hard question to answer, because if you take half of that capacity is going into a plant that's going to supply these external processes that we buy outside, so our hope there is that there's may be a little bit of tailwind and no headwind, as we change those processes from external purchase to internal supply. And in the other cases, where we're adding floor space, it's for product sales. I mean it's absolutely -- the floor space should be more than covered by additional revenues.
Kristine Liwag: And lastly for me, when I look at the moving pieces of fiscal year 20, it seems like you've got a few significant tailwinds to your business, you've got the submarine ramps and for calendar year ’19, there is the F35 ramp going from 90 to 130, he's got the 737 ramp and you've got the 787 ramp and you've got your market share wins on those programs. When I think about 2020, what would prevent your business from seeing double digit growth for the entire enterprise, when I see these tailwinds, are there anything that -- is there anything that you’re concerned about that could prevent you from seeing that double digit growth for next year?
Michael Hartnett: Well, if you go to the sub program, Kristine that FY20 is going to be the one boat year for the Virginia. Normally, we have a 2 boat year for the Virginia. That's going to be a one boat year for the Virginia because of the delay and contract finalization. Now, I think the second half of 20, the Virginia, we may see 1.5 boats that year because of the second half contract should be finalized and we're producing a more normalized rate. So I think that's probably the only headwind we have on the industrial side. On the – the rest of it's pretty normal if the price of oil gets -- starts to accelerate again, everybody will be fracking again, there won't be enough bearings to frac everything that needs to be fracked. And we'll be back running 7 days a week, making bearings for fracking machines. So, a lot of that is dependent upon what happens to the price of these commodities and the aircraft business is just going to be, it's going to be strong, it's going to be as strong as we can keep up to and that's probably, in most of our aircraft plans.
Operator: Our next question comes from Pete Skibitski with Alembic Global.
Pete Skibitski: Mike, one thing I was hoping you could help me, and I'm so confused on defense, was defense revenue down in the third quarter and are you expecting it down in the fourth quarter as well.
Michael Hartnett: So, are you talking on the aerospace side?
Pete Skibitski: The defense portion I guess within either segment?
Michael Hartnett: Okay. So on the aerospace side, defense that goes to distribution was up 17.6%. So it was a 1,000,848 compared to 1,000,571 last year and on aerospace OEM defense, it was down 2.5%, it was at 18,256 compared to 18,727 last year and on the industrial side, the Marine business was up 16.6% to 10,000223 from 8,000,765 last year. And so that helped, Pete.
Pete Skibitski: So Mike touched on I think defense orders. you meant that literally that orders were low this quarter on the defense side and then it will start flowing through to weaker sales, it sounds like in the first half of 2020 and then maybe some recovery in the back half of 2020.
Michael Hartnett: Yes.
Pete Skibitski: And so you guys are thinking, I guess, overall in aerospace the back half of 2020 is when things really get interesting because defense starts to recover particular with sub-marines in that you've done all of the sourcing aspects have completed and you start to ramp on the commercial side more so. Would you say that’s accurate?
Daniel Bergeron: It's how we see it.
Pete Skibitski: And Mike, the 2% delivery struggles, are you going to kind of complete those problems, even before the in-sourcing is complete or will that kind of linger on until all the capacity build out and in-sourcing is done?
Michael Hartnett: Well, the most acute delivery problems that we've had, that's what we did over our Christmas holidays, what did you do? Those problems were taken care of by an accelerated approval that we had from Boeing on our special processes. So those problems, as of this morning, are far behind us.
Pete Skibitski: And Mike, hey, in terms of tariff issues, anything hitting you at all, China related or any other tariff issues negatively impacting revenue?
Michael Hartnett: Yeah. Well, the tariff issues are something special to manage, it just gives you one more thing to manage and so particularly on the material side, we have to calculate for each one of our materials, what it was and what it's going to be and then what we paid for steel last year and what we are going to have to pay for steel this year and so there are changes and then we passed through, we immediately calculate what that does to our product margins and then then we refer to our contracts to make sure that we were smart enough when we negotiated the terms, that we had a material pass through clause as part of the terms and 99.99% of the cases, we do have that clause and so we're able to pass it through either as a surcharge or as a new price.
Operator: [Operator Instructions] Our next question comes from Josh Sullivan with Seaport Global.
Josh Sullivan: Just I mean I think you might have asked this, but curious on the supply constraints in the aerospace, how does it compare airframe versus the jet engine vertical. There has been conversation of increased resources at the jet engine level, just curious if you could come up between the two?
Michael Hartnett: Well, it's mainly -- for us, it's mainly the constraints are mainly felt in airframe. On the engine side, life is very busy right now, negotiating new contracts on the engine side. Our ability to supply the engine components is very good. It's not, it hasn't been tested. And it looks like it won't be tested, so the action on the engine component is one of negotiating new contracts and putting those in place with the terms that we can all feel comfortable with and the pricing that we can all feel comfortable with. And sort of off we go. So engine business is a big check the box kind of status and so both the leap and good turbofan, we have absolutely no problem at all, keeping up to demand. Those are special plants that we have that are focused on engines almost exclusively. And then on the airframe side, we -- I think we talked about the constraints in the internal processes that we're incorporating and our -- the industry lead time is, a lot of these products right now is reported to be out 52 to 56 weeks, so it's -- the industry is very constrained that being able to produce the product, the airframe builders.
Josh Sullivan: And then just as a follow-up on those contract negotiations you just mentioned, is there any change in the structure of those versus previous ones, are they looking at a longer duration, I know you guys going after more market share, is there any -- I know it’s sensitive, but just any qualitative comments there.
Michael Hartnett: Well, there's a lot of terms that we negotiate these contracts with people that are paid to negotiate contracts that are in the business for real and they really know what they're doing. So there's a lot of terms that to be dealt with that that have to be where your point of view has to be argued and a compromise reach. So, but we get there, I mean, the customer needs the product and we have a good product and it often isn't about pricing. When it comes to pricing, the price is one thing and then making sure that the price and the margin is protected over those number of years. It's the next thing through either material pass through or cost of sales pass through that where there's some other extraneous factor that might be influencing the cost of sales that’s not material. So, I mean, it's a lot of work. I mean, we spend hours and hours and hours negotiating these terms.
Josh Sullivan: And then just one last one on the M&A front, are you finding more opportunities on the industrial side or is the aerospace side more interesting and then just can you remind us of what some of the hurdle rates are for attractive M&A for you guys?
Michael Hartnett: Well, yeah, we find both sides of the business attractive to us and it varies with regard to who's on the market at any given point in time. We had -- we made a very large bid in December and it wasn't successful. The seller decided to keep the business. I think they were testing the market on its valuation and we were a little disappointed not to achieve that that was on the aerospace side, but we continue to we continue to work the process and we've seen some very interesting industrial product deals that have been presented to us that are attractive and the multiples are where that is, too much private equity money chasing these deals. So they become a little expensive.
Operator: And our next question is a follow up from George Godfrey with CL King.
George Godfrey: Dan, I just want to understand the cadence or timing of relieving the capacity constraints and I want to make sure I'm hearing it right, what I hear is the solutions or fixes are being put in place here in Q4 and Q1 and then really start to take hold in Q2, but from a financial impact, it probably doesn't hit the P&L that we will see until the December quarter. Is that correct.
Michael Hartnett: Yes. That’s about right. We'll start seeing some impact in Q2, but we will really see the impact in Q3 and Q4.
George Godfrey: Yeah. And that's what I meant to say -- we'll start to see the impact, but the real impact is Q3.
Operator: Thank you. And I'm not showing any further questions at this time. I would now like to turn the call back over to Dr. Hartnett for any closing remarks.
Michael Hartnett: Okay. Well, I appreciate all your questions today and I hope we gave you a better understanding of just exactly was it -- it was fairly complicated quarter, given the ins and outs of the various sales of the business and so on, so I hope -- hopefully cleared up the message and thank you for your interest in RBC and look forward to speaking to you after our fourth quarter. Good day.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude today's program and you may all disconnect. Everyone, have a wonderful day.